Cyndi Holt: Good morning. This is Cyndi Holt, Vice President and Investor Relations, and I would like to welcome you to the Tanger Factory Outlet Centers’ First Quarter 2016 Conference Call. Yesterday, we issued our earnings release as well as our supplemental information package and our presentation. This information is available on our Investor Relations web page, investors.tangeroutlet.com. Please note that during this conference call, some of management’s comments will be forward-looking statements that are subject to numerous risks and uncertainties and actual results could differ materially from those projected. We direct you to the company’s filings with the Securities and Exchange Commission for a detailed discussion of these risks and uncertainties. During the call, we will also discuss non-GAAP financial measures as defined by SEC Regulation G, including funds from operations or FFO, and adjusted funds from operations or AFFO. Reconciliation of these non-GAAP measures to the most directly comparable GAAP financial measures are included in our earnings release and in our supplemental information. This call is being recorded for rebroadcast for a period of time in the future. As such, it is important to note that management’s comments include time sensitive information that may only be accurate as of today’s date, April 27, 2016. At this time, all participants are in listen-only mode. Following management’s prepared comments, the call will be opened for your questions. We ask you to limit your questions to two, so that all callers will have the opportunity to ask questions. On the call today will be Steven Tanger, President and Chief Executive Officer; Frank Marchisello, Executive Vice President and Chief Financial Officer; Tom McDonough, Executive Vice President and Chief Operating Officer; and Jim Williams, Senior Vice President and Chief Accounting Officer. I will now turn the call over to Steven Tanger. Please go ahead Steve.
Steven Tanger: Thank you, Cyndi. And good morning, everyone. Before we discuss our first quarter results, I want to say that we were deeply saddened by the tragic loss in February of Donald Drapkin, a member of our board of directors. He was an exceptional leader, close friend and trusted advisor who will be greatly missed by all of us at Tanger. 2016 if off to a great start with a 12% first quarter growth in AFFO per share compared to the first quarter of 2015. After Frank takes you through our financial results and a brief overview of our recent financing activities, I will discuss our operating performance, our external growth opportunities and our outlook for the balance of the year. But before I hand it over to Frank, I would like to wish a heartfelt farewell to Frank Marchisello my long time thought [ph] partner who announced last October that he will be retiring effective May 20, 2016 to spend more time with his family. Frank has been an exceptional CFO and an even better friend for more than 30 years. He has been involved with the company since it’s interception in 1981 and helped to structure and implement our initial public offering in May 1993. This is our 91st conference call together. Frank’s contributions have been immeasurable during this period of extraordinary growth. His legacy is the fortress balance sheet that we have today. I know that I speak for everyone. When I say that we are sorry to see him go, but happy that he will be able to enjoy his retirement with his family. Go ahead, Frank.
Frank Marchisello: Thank you Steve for the kind words. It is hard to believe that this will be my last earnings call. I am proud of the balance sheets that we’ve built together, and I do appreciate your leadership over the years and just as importantly your friendship. It’s been a great ride at Tanger and leaving is bittersweet. I am honoured to have been part of such a top-notch organization and have worked with a team of talented dedicated professionals. It is comforting to be able to pass the CFO baton to a proven leader like Jim Williams, our current Chief Accounting Officer. Jim and I have worked alongside one another for over 22 years. Many of you already know Jim. He’s been a fixture at investor conferences and roadshows for years. He is well respected inside and outside the organisation and this is a well deserved promotion. Our robust succession planning processes were designed so that transitions like this are seamless and I’m sure this one will be. Now back to the quarter, as Steve mentioned AFFO per share increased 12% during the first quarter of 2016 to $0.56 per share or $55.8 million from $0.50 per share or $49.8 million during the first quarter of 2015. Our total market capitalization as of March 31, 2016 was $5.2 billion up 3% compared to March 31, 2015. Our debt to total market capitalization ratio was 28.6% as of March 31, 2016 compared to 29.2% as of March 31 of last year. We continue to maintain a strong interest coverage ratios during the quarter of 4.12 times. On April 7, 2016 our board of directors approved a 14% increase to the cash dividend on our common shares from $1.14 per share to a $1.30 per share annually. This represents a three year cumulative growth rate of 44% or a 13% compounded annual growth rate. We have raised our dividend each of the 23 years since becoming a public company in May of 1993 and have paid a cash dividend for 91 consecutive quarters. If you purchased one share of Tanger common stock in our initial public offering in May of 1993 for $22.50 or $5.63 on a split adjusted basis. You have now received total dividend and it’s representing nearly three times the initial investment as well as stellar [ph] stock price appreciation. Our dividend is well covered with an expected FFO payout ratio for 2016 in the mid 50% range. At these levels we expect to generate more than $100 million in excess cash flow over our dividend which we plan to continue to reinvest in our business by upgrading our properties and turning most of our development needs. Since the beginning of the year we have completed several financing transactions that further strengthen our fortress balance sheet. On January 12th we closed on the sale of a small non-core outlet center in Fort Myers, Florida, near Sanibel Island. The $26 million transaction represented a capitalization rate of approximately 7% for this bottom-tier asset. We then executed a tax efficient strategy for the use of proceeds from the asset sales we completed in late 2015 that also expanded our unencumbered asset pool to 91% of our consolidated square footage. We did so by repaying the $150 million floating rate mortgage loan secured by the Deer Park, New York property, and repaying a $28 million deferred financing obligation owed to our former partner, increasing our legal ownership interest to 100%. These transactions were funded with a portion of the proceeds from the asset sold in 2015 and 2016 and borrowings under our unsecured lines of credit reduced our total leverage and our exposure to floating rate debt by $108.7 million. Subsequent to quarter end on April 13, 2016 we amended our $250 million unsecured term loan. The size of the facility was increased to $325 million and maturity that was extended more than two years from February 2019 to April 2021 and the LIBOR spread was reduced by 10 basis points from 105 basis points to 95 basis points. As a result, the next significant maturity on our balance sheet has now been pushed out to June of 2020. The $75 million in excess proceeds were used to pay down balances under unsecured loans of credit. Earlier this month, we also entered into interest rate swap agreements that fix the base LIBOR rate at an average of 1.03% on $175 million in LIBOR denominated debt through January 1, of 2021. The dilutive impact of these transactions on 2016 FFO per share is expected to be approximately $0.05 per share. By new derivatives that have been in place since October 2013 that fix the base LIBOR rate at an average of 1.3% on a 150 million of LIBOR denominated debt through August 2018. The recent derivative transactions effectively lock [ph] 325 million of our floating rate debt at an average interest rate of 2.11%. We were considering ways financing alternatives, price indications from several of our banks suggested that strategy to expand the term loan and enter into the interest rate swaps was approximately 75 basis points lower than the expected all in rate for a five year bond offering. On a pro forma basis as if these transactions have occurred on March 31, 2016 our floating rate debt exposure would have been 21% of our total outstanding debt or 6% of our total enterprise value and the availability under our lines of credit would have been 331 million or 64% of the total line capacity. Conservative mindset has served Tanger well throughout 35 years of economic peaks and valleys, maintaining a fortress balance sheet and investment grade credit is our way of life. Financial stewardship has become a hallmark of Tanger Outlet that we do not intend to change. I’ll now turn the call back over to Steve.
Steven Tanger: Thank you, Frank. I am pleased to report that our strong rent spreads have continued into 2016 for lease renewals and re-tenanting activity within our consolidated portfolio. Blended based rental rates increased 21.1% during the first quarter of 2016 on top of a 23.1% increase during the first quarter of 2015. Lease renewals during the quarter accounted for approximately 763,000 square feet or about 54% of the space coming up for renewal and generated an 18.0% average increase in base rental rates. Re-tenanting activity accounted for an additional 185,000 square feet of leases executed during the quarter and generated an average increase in base rental rates of 32.3% with the lowest average tenant occupancy cost ratio among the high-quality mall REITs at just 9.3% of our consolidated portfolio in 2015. We have been successful at raising rents while maintaining a very profitable distribution channel for our tenant partners. Same-center net operating income increased 4.4% during the quarter, on top of a 4% increase in the first quarter of 2015. The growth during the first quarter of 2016 was aided by a lower snow removal expense compared to the first quarter of 2015. The first quarter of 2016 also compared favourably to the same center net operating income growth of 2.1% during the fourth quarter of 2015. We now have reported same-center net operating growth in 45 consecutive quarters dating back to the first quarter of 2005 when we first began tracking in this metric. Lease termination fees which are not included in same-center NOI were approximately $600 lower than the first quarter of this year compared to $1.1 million during the first quarter of 2015. In addition, total property level net operating income for the first quarter of 2016 included all the NOI generated by our only owned properties and our share of the NOI generated by our consolidated and unconsolidated joint ventures increased 10.4% compared to the first quarter of 2015. This impressive growth was achieved inspite of the dilutive impact of the recent asset sales. Traffic into Tanger Center was up 6% during the first quarter. Average tenant sales per square foot within the consolidated portfolio increased 4.7% during the first quarter compared to the first quarter of 2015. For the trailing 12 months ended March 31, 2016 the average tenant sales within our consolidated portfolio were $401 per square foot flat compared to the 12 months ended March 31, 2015 but up 1.5% compared to the 12 months ended December 31, 2015. Our consolidated portfolio was 96.6% occupied as of March 31, 2016 compared to 96.7% as of March 31, 2015. We remain optimistic about the future of our business, our reputation with retailers of having a quality portfolio of outlet centers and a refined skill set for developing, leasing, operating and marketing them has afforded us their robust external growth pipeline. We delivered four new Tanger Outlet centers in 2015 totaling 1.4 million square feet which represents a 10% increase in our footprint at the beginning of the year. These investments generated a weighted average stabilized yield of 10.1%. Since 2014 we have added six new centers totaling 2.1 million square feet including both the consolidated an unconsolidated portfolio of properties. During that time, we have sold eight properties totaling 1.3 million square feet with an average age of 22 years. Currently, the average age of assets in the Tanger portfolio is 16 years. For 2016, we plan to deliver two new centers, both of which are already under construction. Most of the 355,000 square foot Columbus Ohio center is in the tenant build out phase. We expect this center to open highly occupied in June 2016. In addition, both construction and leasing efforts are progressing as planned for our new 352,000 square foot center in Daytona Beach Florida which we plan to open just in time for the holiday shopping season this year. During the first quarter, we announced our newest pre-development project, located in the greater Fort Worth, Texas market within the 279-acre Champions Circle mixed-use development adjacent to Texas Motor Speedway. We plan to develop a 350,000 foot outlet center featuring over 70 brand name and designer retailers. We have executed leases with a number of great retailers, including Nike, Levi's, Banana Republic, Gap, Old Navy, Express, Skechers, Carter's, OshKosh and many more. Pre-development and pre-leasing efforts for the project are ongoing. We plan to acquire the land and commence construction once we have achieved our self imposed leasing hurdle which requires commitments for a minimum of 60% of the leaseable square footage for new development properties. In addition, work is ongoing on a number of pre-development stage sites in our shadow pipeline which we plan to announce upon successful completion of our underwriting process. Regarding our outlook for the balance of the year, we currently expect 2016 FFO to be between $2.29 and $2.35 per share. AFFO to be between $2.30 and $2.36 per share as diluted net income to be between $1.05 and $1.11 per share. We are also leaving our guidance per same-center [ph] and operating income unchanged with an expected range between 3% to 3.5% as our forecast includes the impact of remerchandising activity planned to take place at a number of our centers during the balance of 2016. Our estimates are based on average quarterly general and administrative expenses of approximately $11.4 million to $11.9 million and average projected management leasing and other services income of approximately $1 million per quarter. Our forecast assumes tenant sales remain stable and does not include the impact of any additional termination rents, any additional financing transaction, any property acquisition for the sale of any out parcels of land or any additional outlet centers. We remain optimistic about the growth prospects for our company, as shoppers continue to seek Tanger’s unique shopping experience and a wide array of brand name merchandise direct from the 80 to 90 manufacturers that operate stores in each Tanger Outlet Center. The tenant community continues to indicate its desire to expand into new markets with Tanger as a preferred partner. The resilience of the outlet channel has been proven over the past 35 years through many economic cycles. We have more than 3,000 long-term leases with good credit, brand name tenants that have historically provided a continuous and predictable cash flow in good times and challenging times. No single tenant accounts for more than 6% of our base and percentage rental revenues or 7.5% of our gross leasable area. In addition, approximately 90% of our total revenues are expected to be derived from contractual base rents and tenant expense reimbursements. And now, I’m happy to turn the call over to any questions.
Operator: [Operator Instructions] Your first question comes from the line of Samir Khanal from Evercore ISI. Your line is open.
Samir Khanal: Hey Steve, just on your guidance here the 3% to 3.5% you know I know you talked a little bit about sort of proactive return on any and remerchandising at the centers, but are you expecting any kind of store closings or bankruptcies from tenants at this point?
Steven Tanger: So far this year we’ve only had about 26,000 square feet of tenants in bankruptcy that’s compared to 200,000 last year. But reading the financial press there are several tenants on our watchlist that have either announced a corporate restructurings or potential bankruptcies, so we are watching this carefully. We are in the process, we are talking to a couple of them, but we haven’t finalized that [ph] if and the number of stores that may close and what our re-tenanting plans are. And it’s difficult at this point to determine the total square footage and any expected time to re-tenanting and re-tenant the space. However, I will point out that virtually every year this happens and we have a long history of re-tenanting space with more productive tenants and usually at higher rents. So we are hoping this year we’ll continue. The reason our guidance remains the same is the uncertainty as to the timing and the amount of the space.
Samir Khanal: Got it. And then I guess my second question is, I don’t know if you can provide a bit more color on kind of the sales trends that you are seeing across some of your tourism driven centers, I know you sold store or something but then you know you’ve got sort of Riverhead. I think you know San Marcos and maybe I don’t know to what extent Atlantic Cities is driven by international tourist but any color around that would be good.
Steven Tanger: Most of our sites, most of our centers are consistently visited by Americans on vacations year after year, and that’s a very stable market place. We don’t enjoy the thrill of higher sales when the dollar is weak and tourism is strong and fortunately we don’t experience pain when the dollar is strong and tourism is down. It’s a very stable type of portfolio. We did identify about 18 months to 24 months ago our most vulnerable site to foreign tourists which was Barstow, California and fortunately we executed sale of that center last October. So we were really not experiencing a big negative downturn from the foreign visitors reduction in tourism and the strength of the dollar.
Samir Khanal: Great. Thanks Steve.
Operator: Your next question comes from the line of Caitlin Burrows from Goldman Sachs. Your line is open.
Caitlin Burrows: Hi, good morning just on occupancy. I guess your occupancy has traditionally been very high and while it’s almost 97% now it is down a little year-over-year, so I was just wondering if we could expect that to turn positive later this year.
Steven Tanger: Well let me please put that in perspective. We are 96.6% occupied, down 10 basis points from a year ago which is statistically not important. We expect although we haven’t issued guidance, we expect occupancy to return pretty much to the level it was at the end of last year in the mid 97%, 98% range probably 97.5%. So we do expect some lease up towards the end of the year, of course I’ll caveat that with the uncertainty around unexpected vacancies caused by bankruptcies and corporate restructurings which I mentioned earlier.
Caitlin Burrows: Okay and then just on tenant sales, you mentioned this year was plus 4.7% for the first quarter which sounds pretty strong. I was wondering if you could comment on which categories were driving this and then also from your mall tiers [ph] department store weakness has been a headline risk and I know your guys exposure to those types of retailers is much lower but the extent you do have some exposure to their off price concepts how those are doing?
Steven Tanger: Well our exposure to department stores actual full line department stores is zero. The financial press is reporting that the full line department stores are exploring potential closings. The relatively new department store, outlet stores we basically have several [Indiscernible] fifth stores. We only have one Neimans last call. We have no Bloomingdale’s outlet, no Gordon Taylor [ph] outlets, no [Indiscernible] so our exposure there is extremely small. And we are very fortunate in that.
Caitlin Burrows: And then just in terms of the inline tenants that were like plus 4.7% for the quarter, were there specific categories that were stronger than others or does it just depend on the location and retailer?
Steven Tanger: It just really depends on the location and retailers. The retailers that are successful high volume retailers in the regional malls and other distribution channels are the same tenants that are high volume successful retailers in the outlet channel.
Caitlin Burrows: Okay. Thank you.
Operator: Your next question comes from the line of [Indiscernible] from Jefferies. Your line is open.
Unidentified Analyst: Yes hi, this is George [Indiscernible]. Just on the transaction environment, sort of what are you seeing out there and are you looking to sell additional assets currently do you have anything out on the market?
Steven Tanger: We have no assets for sale on the market. The Sanibel sale occurred from an inbound call which we were happy to answer and led to a very successful transaction. And we do get inbound calls from time to time on various assets which we listen to, but we are not under any contract and we are not marketing any center sport sale.
Unidentified Analyst: Okay, thanks. And then also in terms of development sites and how they are looking for new projects, sort of how is the competition out there with more players in the outlet space and do you anticipate doing some more JV deals like given sort of the competition for development.
Steven Tanger: Well first of all there are not more players in the outlet space. And I will remind you that it was about two, three years ago that there was lot of conversation because I think there were 51 or more outlet centers that were announced and our comment which turned out to be accurate was it’s easier to announce an outlet center than it is to get one built. We anticipate this year that only four or maybe five outlet centers will be delivered in the entire country and that’s a relatively small increase and very few maybe the same number next year. As far as the number of developers, the largest and most respected is our partner in Columbus, Simon Property Group and they have several properties which they intend to develop and deliver as do we and there are maybe one or two other developers who are attempting to market and get leased other outlet centers. But that’s it; there are not a lot of people now developing outlet centers because it’s very difficult to get that done. And once they opened it’s just as difficult to maintain and market and operate them. So the tenant community fortunately after doing this for 35 years tends to sign leases and support centers developed by Tanger and Simon.
Unidentified Analyst: Okay, thanks for the color.
Operator: Your next question comes from the line of Leena [Indiscernible] from JPMorgan. Your line is open.
Unidentified Analyst: Thank you, good morning. I was just wondering what impact of any do you expect on your Atlantic City Property, what they are increasingly and likely prospect that the City might go bankrupt.
Steven Tanger: The City’s financial situation really does not impact us. Our business in Atlantic City is up. We have a lot of tenant interest and we are in discussions with several high quality, high volume tenants to go into Atlantic City. Bass Pro shops has recently opened attached to a very large parking deck. Bass Pro by the way is 85,000 square feet. There have been enhancements to several of the different hotels. So there is a lot of activity positive activity going on in Atlantic City. For instance there’s a 100,000 square feet of Harrah's Waterfront Conference Center. So as we can see the City of Atlantic City’s financial situation does not impact our center. And by the way our center kind of access [ph] almost like a regional mall for that part of New Jersey and it’s not totally dependent on tourist.
Unidentified Analyst: Thank you.
Operator: Your next question comes from the line of Christy McElroy from Citi. Your line is open.
Katie McLaughlin: Good morning, this is Katie McLaughlin on for Christy. Regarding the pre-development project in Fort Worth, Texas can you provide us an update on the progress or pre-leasing and maybe provide some color on the estimated spend and potential timing as contracting commencement.
Steven Tanger: We are happy to do all of that once we reached the pre-leasing threshold of 60% and its added to our development pipeline, but right not it’s -- I’m sure you realized we are very disciplined conservative developers and have for years not built on speculation and don’t intend to. So, when we reach the leasing threshold and actually purchase the property, we’d be happy to give you that guidance.
Katie McLaughlin: Okay, thanks.
Operator: Your next question comes from the line of D.J. Busch from Green Street Advisors. Your line is open.
D.J. Busch: Thank you. Steve, you know thinking back over the last couple of years, it seems like there has been a pretty meaningful evolution in the merchandised mix at shopping malls with respect to the amount the food services and restaurants that have been added and it seems like the response has been quite strong or favourable. You mentioned last year that you had a couple of food tenants coming in to replace some of the bankruptcies that you experienced in 2015 but I think traditionally food has been a challenge in the outlet centers due to the volatility, I guess the weekly volatility and traffic flow. How do you think about food in your centers going forward and can we expect that to be a more important part of the merchandise mix over the next couple of years?
Steven Tanger: Keep in mind that our centers are 96.5 to 97.5 occupied and average about 350,000 square feet as opposed to the average in the mall of about 900,000 square feet. So we don’t have any access space to convert to large format sitdown restaurants. We do provide food on either out parcels through national franchisees or through what we call grazing [ph] where there is various types of coffee or pizza, pretzels, sandwiches throughout the center. It's just a different shopping experience. Our shoppers drive a half hour and spend an average three and a half to four hours on our properties shopping. So, we would constantly monitor food service. We are talking to various providers and it is a strategy to add more food, we don’t really have the space for it.
D.J. Busch: So I guess we can continue to expect you to take advantage of out parcels but not so much as maybe potential space comes available overtime to look to add more food in the actual center.
Steven Tanger: I think that’s accurate. I mean we are exploring different types of strategies, but right now that’s proven the most successful.
D.J. Busch: Okay. And then Frank going back to what you said about earlier this month you extended the term loan and I guess the feedback was a 75 basis points lower than if you would have gone to market for a five year bond. I know it’s probably only been a couple of weeks but if you were to do that today, do you think that pricing would be different and maybe just a little bit color from your [Indiscernible] on the overall unsecured markets as you see them.
Frank Marchisello: I believe that this spread would probably be comparable today. I don’t think anything has really changed since we did that. I don’t think anything’s really changed since we did that. I do think that unsecured bond markets are open. Obviously, there’s a lot of headlines out there that could impact that, but I think for the most part if you wanted to get a deal done, particularly an investor-grade deal, you could do it and it’d still be at attractive rates. We just don’t like increasing the maturity on this term loan, fitting a good spot on our debt maturity schedule. And it was a relatively simple transaction, not a lot of fees involved and we were able to really fix it at no cost other than this LIBOR spread. So I feel it’s a good transaction. I do think that the unsecured markets are open at attractive rates should we need to do that. But as of right now, we have no intention of hitting the unsecured market any time in the near future.
D.J. Busch: Okay, great, Thank you.
Operator: Your next question comes from the line of Carol Kemple from Hilliard Lyons. Your line is open.
Carol Kemple: Good morning. Frank, congratulations again on our retirement. You’ll definitely be missed on the calls.
Frank Marchisello: Thank you.
Carol Kemple: My question is kind of pertaining to some stories we’ve seen in the news recently. There’ve been a lot of articles about outlet concepts, particularly New York and Company and J. Crew factory opening stores in the [Indiscernible]. You can kind of look at this two ways; one, maybe there is not enough outlets being opened to serve the demand of these retailers and that could be a positive to you all. Or you could look at it as these outlet concept retailers have more options at leasing which could be a negative for you all. Where do you kind of see the situation?
Frank Marchisello: Carol, the specific tenants that you mentioned J. Crew who’s been a valued tenant of ours for 25 to 30 years, has been through several evolutions. They announced a mercantile concept a year or so ago, which is targeting small market C or less quality malls and they’re opening mercantile which sells outlet product that is not labelled in the J. Crew outlet. And New York and Company, as I understand it, is converting some of their New York and Company full-line stores in failed or failing malls to New York and Company outlets. These are isolated concepts. It really has not affected our leasing, nor do we expect it to affect out leasing. We are proud to have both J. Crew and New York and Company in our new development properties. We continue to work closely with both of those tenants and other tenants that have gone into other types of retail. So the quick answer is that’s no impact on us as you can see from our extremely high occupancy which has continued over the years.
Carol Kemple: Okay, great. Thank you.
Operator: Your next question comes from the line of Craig Schmidt from Bank of America Merrill Lynch. Your line is open.
Jing Wang: Hi, this is Jing Wang here with Craig Schmidt. Our question is two parts. First, we noticed the new project announced in Texas by the Texas Motor Speedway, is about 20 to 25 miles away from Fort Worth and the Daytona Beach project is in the city. Is this the direction of where Tanger is looking to build its new centers? And the second part of the question is you’d mentioned there are no assets on the market for sale now. But as you evaluate your portfolio, is there any thought of an annual cooling process? And do you kind of where the new centers being built closer into major markets make you rethink some of your centers that are further away from major MSAs?
Steven Tanger: Well, let me try to answer one question at a time. First of all, the Daytona Beach project is not in the city. I don’t know if you’ve ever been to Daytona Beach, but our project is on Interstate 95 which is a couple of miles off the beach. The project in Fort Worth is attached to the Texas Motor Speedway which is a very large tourist attraction. I think the capacity is 190,000 people and they get 200,000 to 250,000 people in a week and whenever they have a race. So for years, we’ve been in tourist locations. The advantage of Fort Worth it is both tourist and a major city outlet center where there is very little competition for us. So this is consistent with what we’ve done for 35 years, Jing. As far as the question of outlet centers moving closer in and impacting other existing centers our friends in Green Street wrote a report 23 years ago called exit ramp risk and I would encourage you to read that, because it never happened. And our tenants are the ones that control the placement of outlet centers because they signed the leases and they have not chosen to and rightfully so dilute their sales or impact or cannibalize their sales in market places. There is only about 175 outlet centers in the entire country. There is plenty of room to grow without cannibalizing the existing centers. So the answer to your question is we are not changing our site selection criteria and we are interested to know your examples of centers moving really close into center city.
Jing Wang: Thank you. And just on the -- is there any thought of an annual cooling process in terms of disposition?
Steven Tanger: Jing, we’ve for the past 35 years always had properties that we -- that are in the bottom 5% of our portfolio as does everybody with a portfolio and we do not have an annual asset sale or disposition initiative and there is not a broad market for outlets and right now everyone of our centers is doing well. We as I mentioned earlier completed the disposition strategy over the past two years, very successfully. But previously to that several years ago and ever since we have been in business, we have sold probably 15 to 20 centers over the years successfully overtime. So the answer is yes. We will continue to look at the bottom 5% to 10% of our portfolio and if somebody comes to make an attractive offer we’ll consider it. But no there is no annual disposition strategy.
Jing Wang: Thank you.
Operator: Your next question comes from the line of Rich Moore from RBC Capital Markets. Your line is open.
Rich Moore: Hi, good morning guys. First of all I’d like to echo Carol’s thoughts Frank and wish you the best of luck in your retirement and certainly we are going to miss you a lot. My first question for you guys is on tailored brands. I think Steve, if I’m not mistaken or maybe you can correct me you have about 11 concepts, 11 of the concepts Jos. A Banks I think and they said that they want to shut all of their outlet stores by sometime in July. And I’m curious you know they can’t obviously you know laterally just not pay you guys and so is that something you’ve already discussed with them and they are going to pay you some sort of termination so they can get out by July and do you think they will actually get out by July?
Steven Tanger: Hi Rich, and thanks to you and Carol for your nice comments on Frank. We’re going to miss him also. The tailored brands is just one of the several companies that have announced either restructuring or bankruptcy that we are talking to. We had several as you mentioned Jos. A Banks but tailored brands is also a men’s wearhouse which is a good credit company. So we are in discussions with those folks, the timing and the number of stores closing or staying open has not been finalized and we’ll give you more of an update and color when there is some certainty in the next call.
Rich Moore.: Okay, good thank you. And then [Indiscernible] and then if I could just for a second the [Indiscernible] on bankruptcies are out there as well. Are you guys involved in any way with those? I mean do you get on the credit of committee or are you just having discussion with the tenant itself?
Steven Tanger: Life is too short to be on a creditor committee. We have never done that and have no intentions of doing that. Of course, as you know, the trustee and the bankruptcy makes the decision on whether the stores stay open or close. Both of those are Chapter 11 as per our knowledge. Both of those, if they do go, I don’t know if Aeropostale’s going into bankruptcy or not. They have discussed it but when a company goes into bankruptcy or Chapter 11, they normally get dip financing which means our rents are guaranteed from the date of the filing and dip financing forward. So, we have very little credit risk and both of those tenants you mentioned are the ones in financial distress get there because their stuff doesn’t sell. That means that their productivity is significantly lower than our portfolio average. So, we route to get some of those stores back so we can replace them with more productive higher rent paying tenants to upgrade the co-tenancy.
Rich Moore: Okay. Very good. Thanks for the comments.
Operator: Your next question comes from the line of Todd Thomas from KeyBanc Capital Markets. Your line is open.
Todd Thomas: Hi. Good morning. First question, if you look at the foot traffic that you reported that’s up 6% in the quarter, a real big jump, did you see any difference in traffic across various markets just given the more milder winter this year versus the year ago period and how important is the weather as it pertains to traffic and sales at your centers just given the portfolios predominantly open air?
Steven Tanger: Snow and bad weather does impact our traffic. You are correct. And there were several positive things this year with regard to traffic but warm weather in the first quarter always helps. The only disadvantage is it’s the lowest volume quarter of the year. So, we will see how it shakes out on an annual basis.
Todd Thomas: Okay. And then just looking at the balance sheet, nothing really to speak of in 2016 but in 2017, you have a handful of unconsolidated construction loans. What happens there with regards to Houston, Savannah, Westgate? Would you and your partners look to permanently finance those assets or do you think that you want to encumber them?
Steven Tanger: It’s obviously dependent upon the specific property and specific partner. But I think everyone of those construction loans has an expansion option, which we certainly will look at. And it’s difficult today to sit and give guidance on what we might do a year or two in the future. We will just have to work with our partners as for the best financing options for that particular asset at that point of time.
Todd Thomas: Okay. And some of those will be just a couple of years old but I guess could the financing be an opportunity to consolidate the asset and buyout our partners interest in any of those assets? What kind of provisions are build into the partnership?
Steven Tanger: Not everyone of our partnership has an exit scenario. In most cases it is a buy-sell type of arrangement where one party sets a price and the other decides if they want to buy or sell. So, we have not -- we have not entered into any buy-sell and have no immediate expectations of doing that. But each of our partnership agreements has that exit. And again, it’s hard to speculate. I don’t intend to speculate. We have great partners. These assets are world-class assets that are hard to replace and if something happens in the future where our partners’ strategy should change, we certainly would have discussions with them. We have great relations with each of our partners.
Todd Thomas: Okay. Thank you.
Operator: There are no further questions at this time. I will turn the call back over to the presenters.
Steven Tanger: I want to thank you all for participating in the call today and your interest in our company. Again, Frank will be missed and thank you for your nice comments about Frank. We look forward to seeing you at whatever the next conference is and good bye and have a nice day.
Operator: This concludes today's conference call. You may now disconnect.